Operator: Good afternoon. My name is Britney and I'll be your conference operator today. At this time, I would like to welcome everyone to the Trimble First Quarter 2016 Earnings Conference Call. [Operator Instructions]. Thank you. Mr. Jim Todd, Director of Investor Relations, you may begin your conference.
Jim Todd: Good afternoon. I'm here today with Steve Berglund, our CEO; and Rob Painter, our CFO. Before we begin, I'd like to remind you that the forward-looking statements made in today's call and the subsequent Q&A period are subject to risks and uncertainties. Trimble's actual results may differ materially from those currently anticipated due to a number of factors detailed in the company's Form 10-Ks and 10-Qs or other documents filed with the Securities and Exchange Commission. During this call, we will refer to a press release which is available along with additional financial information on our website at www.trimble.com. The non-GAAP measures discussed in the call are reconciled to GAAP measures in the tables to our press release. Now let me turn the call over to Steve.
Steve Berglund: Good afternoon. Although the first quarter provided some puts and takes from our original set of expectations at the beginning of the quarter, we remain on track for the 2016 scenario we laid out in prior calls. Our themes remain the same. First the worldwide economic environment remains a challenge and is generally providing us with no favors. The expectations may be Europe which is continuing to show signs of recovery in our markets. Second our focus remains on the recovery of our financial model in the short and long term. Third our strategic position remains advantaged and the market potential significant. We're therefore mindful of balancing short term financial progression with strategic outcomes. While the first quarter results were within guidance they are only a way station on a return to the financial performance we're capable of reestablishing and maintaining. Rob will speak to some of the complexities and limitations associated with the income statement in the midst of a changing business model. For example we recorded an all-time high deferred revenue balance in the quarter which grew by $37 million from the first quarter last year. This in combination with the first revenue growth quarter since 2014 supports our view of mid-single-digit growth for the full year absent significant currency impacts. We understand that arithmetically the total year view imbeds an expectation of step up in growth in the second half which is supported by what we see as improving trends in transportational logistics, Buildings, Heavy Civil and agriculture. Providing additional encouragement is demand in the month of April which has been more robust than prior years in the seasonal businesses of construction and agriculture. This could be weather, secular trend or a combination of both. It is nonetheless encouraging if precise. We have repeatedly spoken of regaining our financial model during 2016 with the definition of success being in the neighborhood of 20% non-GAAP operating margins. Neighborhood in this case implies being within a point plus or minus and convincing enough to remove any doubt about our having reset our structural model back to that level. From a portfolio perspective Field Solutions and Advanced Devices were both above 30% for total year 2015 and our contributors to the model. Mobile Solutions was at 16.5% for total year 2015 and only 13.9% for the first quarter. The major reason was the receipt of multiple large contracts with a heavy weighting toward hardware in the quarter that will lead to richer software subscription margin later in the year. With the dynamics at play Mobile Solutions should be within striking distance of the 20% threshold later this year. E&C is at the core of our margin restoration efforts. Segment produced operating margins of greater than 20% in 2012, 2013 and 2014. And fell to 17% in 2015. We believe we have specific steps in place to restore the E&C model and thereby elevate the entire Company. In prior quarters we have recited a list of rationalization actions we're taking. Let me reiterate that list. The first is cost reduction. We took steps throughout 2015 to bring spending in line with altered realties and this process is continuing into 2016. The reductions have been focused in those areas that are facing revenue issues particularly Field Solutions and [indiscernible]. On the other hand we have continued selectively add in areas such as transportation logistics which has significant revenue momentum. We're also running R&D hotter than our base model, with the expectation of having a rich product release year. It is still our intention to dial R&D back to our traditional levels of 14% to 15% of revenue. The second initiative is the pricing of the portfolio of non-strategic businesses, products and product categories. During the first quarter we announced the divestiture or shutdown of three product lines. The first was a part of our public safety business; the second was a planning software package for transmission lines and the third was Trimble outdoors. This process will continue as we focus more intently on our franchise business in a handful of emerging businesses. The third initiative is the consolidation and leaning out of the organizational infrastructure that has grown up through our acquisition. One significant element of this will involve the elimination of unnecessary legal entities acquired through acquisitions with our corresponding costs. The fourth initiative is to consolidate organizations and operations in to more cost effective configurations where possible. Some of this effort is already complete and some is ongoing. This has involved consolidating number of selling and manufacture organizations to gain better cost leverage. A fifth initiative is the ongoing consolidation of product platforms by sharpen focused on [indiscernible] decisions for hardware elements of our product solutions and the reduction of redundant or low value R&D activity. Across the regions the story remains a collection of pluses and minuses. The U.S. is positive but somewhere short of robust. Canada reflects the commodities bust and the struggling. Europe reflects improved momentum in our major businesses but remains in our mind tentative pending events such as the upcoming U.K. vote. China remains a positive in the mid to long term but short term decision making is paralyzed due to market volatility in policy and decision. Russia may slowly be coming off the bottom and was a growth market for us in the quarter. Other markets such as Brazil, Australia and South Africa are problematic. Although Australia showed strong growth in the quarter. The outlook for Argentina which is a significant agriculture market is now hopeful. The E&C segment is a mix story. Heavy Civil delivered the strongest relative quarter we have seen in almost two years and surprised us to the upside. This momentum appears to be continuing into the second quarter across all major regions. Also adding momentum in Heavy Civil are the recent boosts to our mixed fleet strategy in construction through the announcement of OEM deals with Volvo, Hyundai and [indiscernible] with more in discussion. While the incremental revenue from these deals is a plus, the greater significance is that they are placing Trimble at the center of the construction information ecosystem which we can exploit in the aftermarket over an extended period of time. The unique advantage in developing these OEM deals has been the SITECH channel which allows Trimble to supplement the OEM dealers with [indiscernible] support as needed or desired. Last quarter we describe the likely year for Heavy Civil as muted given the headwinds in core markets such as Australia, South Africa and Canada with some potential of uplift from the U.S. Highway Bill. Our expectations have improved in the last three months and we expect a greater contribution from Heavy Civil during the year. Although the BIM centric buildings business remains a strong plus for the year and into the future, it stumbled in the quarter due in part to the GAAP revenue accounting for delays in receiving customer acceptances which either have arrived after quarter end or are expected in this quarter. Overall we expect the buildings business to generate double-digit revenue growth for the remainder of the year. We were anticipating a relatively strong come back for the Geospatial business in the quarter which did not materialize particularly because of continued slowness in North American. The used equipment market has become saturated with equipment surplus from the oil producing areas and it will take some time for the overhang to work itself through the market. Last quarter we described the outlook for Geospatial for the year relatively robust single digit growth. With a better understanding of current circumstance our revised view is probably best reflected as modest single-digit growth. Overall we see E&C back on the growth path for 2016 with the potential for significant expansion in margins. Our view on agriculture remains unchanged from prior quarters with the expectations for the year being flattish at the revenue line with flattish implying a relatively narrow range around zero. Although agriculture was down in the first quarter as expected our view for the rest of the year is for consistency with last year's revenues which may contrast with equipment manufacturers views results from a combination of new products, strong performance in some regional markets and expected actions in the aftermarket. There are dynamics at work for us that contrast to a simple correlation to new machine sales. For example [indiscernible] units installed in the world wide aftermarket on equipment more than two years old is running at more than 50% of the total with a substantial portion going on units more than five years old. This demonstrates the continuing viability of the aftermarket channel as a technology delivery mechanism and the penetration potential on the installed base. The vantage channel which is our [indiscernible] third party agriculture distribution channel focused on technology is providing early and still tentative superior results to other channels which reinforces our belief in the effectiveness of the channel. Overall for the Field Solutions segment with expect revenue to be up low single digits for the remainder of the year with an assist from acquisitions. The Mobile Solutions segment first quarter growth rate was consistent with the fourth quarter's rate. We exited the first quarter with record backlog and we continue to expect an acceleration of growth through the remainder of the year based on recent transportational logistics wins some of them unannounced. The new product pipeline consisting of the mobile gateway and video intelligence has been well received. We continue to anticipate this segment to be the strongest performer within the Company for total 2016 producing both double-digit revenue growth and margin expansion. The Advanced Devices segment does not typically enter in to our quarter end commentary because it is peripheral to our end user strategy focus and not particularly significant against the scale of the other segments. However this year with the significant year-to-year drop in the first quarter revenue the segment effected the optics of the aggregate financials. The segment tends to be inherently lumpy because of the nature of its product and customer base and its reliance on large contracts and specific customer delivery schedules. We're confident that the first quarter drop was a function of last year's very strong first quarter and we expect to see modest full year Advanced Devices revenue growth, with the growth spread over the remaining three quarters. Let me turn the call over to Rob. Before I do, let me characterize the first quarter as being the quarter we expected, with again a couple of puts and takes with the ags recorded results providing a less than ideal set with our full year narrative of revenue growth and margin expansion. If one looks beyond the moving parts, we believe it does provide support to believe in progression quarter-by quarter during the year. Rob?
Robert Painter: Thank you, Steve. Before getting to the numbers, please note as usual that unless otherwise indicated, the operating results I will discuss today will be on a non-GAAP basis. The reconciliation from GAAP to non-GAAP numbers is in our earnings press release, along with the financial data by segment. Unless otherwise indicated, growth rates are meant to be year-over-year growth rates. Let's now turn to the first quarter results. Q1 total revenue was $583 million flat year-over-year. Currency translation subtracted approximately 1% year-over-year and the net effect of acquisitions and divestiture added approximately 2% year-over-year. Turning to our revenue by segment I will start with engineering and construction. Engineering and construction segment revenue of $310 million was up 4%, with improved year-over-year growth. Currency translation subtracted approximately 1% and the net effect of acquisition and divestiture added approximately 1%year-over-year. Within E&C the revenue performance was mixed. Heavy Civil revenue grew double digits through a combination of organic and acquisition growth, with strength in most regions. Our confidence continues to grow in this business for the rest of the year with positive momentum as we enter our seasonally strongest quarters in the segment. Trimble Buildings grew single digits overall, lower than expected due largely to some renewal delays and delayed revenue recognition on a small number of large contracts. We expect performance to rebound to recent patterns. Geospatial revenue was down single-digits in Q1 with continued weakness primarily in the North American market. We expect some improvement but we have muted our growth expectations through the rest of the year. In the Field Solutions segment revenue of $106 million was down 8%, currency translation subtracted approximately 1% and acquisition had an approximate 5% positive impact. In line with our expectations the agriculture business was down high single-digits impacted negatively by difficult markets in North American and Brazil with healthier markets in Europe and Asia. While the agriculture market remains very challenging we continue to expect our year-over-year growth profile to improve during the course of the year. Mobile Solutions segment revenue of $136 million was up 6%. Currency translation subtracted approximately 1% and acquisition had an approximate 1% positive impact. Within the segment T&L which is our transportation and logistics business was up high single-digits as expected. We expect growth to strengthen through the year with backlog at record levels as a result of large customer wins. The rest of the segment was relatively flat year-over-year. Advanced Devices segment revenue of $31 million was down 22%, due primarily to weaker OEM sales than we experienced in Q1 2015. As we have previously discussed, Advanced Devices revenue can be lumpy due to the timing of these sales. Note Q1 2015 was the strongest quarter last year in Advanced Devices and represented a very challenging comparison. We expect year-over-year growth rates to improve through the rest of 2016. By geography our revenue split was as follows; 54% from North American, 26% from Europe, 14% from Asia-Pacific and 6% from the rest of the world. North American was up 1% year-over-year. E&C improved significantly double digits lead by strength in Heavy Civil offset by soft performance in Geospatial. Field Solutions was down double-digit in North American with a challenging quarter as expected in agriculture. And Mobile Solutions grew single-digits led by T&L. Europe continued to be a positive story with revenue up 5% year-over-year. Excluding currency translation effects, revenue was up approximately 8%. Geographic performance was mixed with the U.K. and Germany slightly down improved by strong performance in France. Italy and the Nordic regions. Russia improved in the quarter from prior year. Asia-Pacific revenue is down 9% year-over-year as recorded. Currency translation subtracted approximately 1% year-over-year. Asia-Pacific performance was uneven and patterns are currently hard to establish with declines year-over-year in China, Japan and Korea partially offset by the first quarter growth in Australia that we have seen in almost two years. Rest of world was down 8% year-over-year. Currency translation subtracted approximately 2% year over year. Brazil was very weak offset by growth in some areas of the Middle East and Africa. Turning to the rest of the P&L, gross margins at 55.9% were down 90 basis points. This is at the low end of our expectations which was the primary reason for our performance on the low end of our EPS guidance. The biggest impacts on gross margin year over year were geographic mix in Field Solutions and the impact of increased hardware mix in T&L within Mobile Solutions. Furthermore Advanced Devices with [indiscernible] margins represented a smaller portion of the overall Company in Q1 2016. In Field Solutions and Mobile Solutions we expect to see gross margin recover in the rest of the year as more traditional mix trends reestablish themselves. Next to put non-GAAP operating expenses into context this represented a $3 million year-over-year increase in the quarter. Compared to last year the numbers were roughly as follows. Restructuring activities reduced OpEx in line with the $30 million of annualized expense reductions we talked about last year. OpEx for newly acquired companies roughly offset these savings. Finally we're investing in growth initiatives primarily in our T&L business which we expect to benefit us in the second half of the year. With respect to operating income, Q1 non-GAAP operating income was $88.5 million or 15.1% of revenue as compared to 16.6% of revenue in the prior year. E&C operating margins were up year-over-year due to revenue growth and cost containment with a positive momentum as we enter our seasonally strongest quarters in that segment. Field Solutions margins were down year over year impacted mainly by lower revenue and gross margins, but remained above 30% due to cost containment actions. Mobile Solutions margins were down year over year as we expected due to gross margins and operating expense investments related to growth in the business. Acquisition closed in the last 12 months also had a slight negative impact on operating margins. Turning to tax, our non-GAAP tax rate was 24%. Note that our GAAP tax rate was 33% against a GAAP tax rate of 23% in the prior year, impacted by discreet items in the quarter which negatively impacted GAAP EPS year over year. So Q1 2016 non-GAAP net income of $64.5 million was down 11% as compared to Q1 2015. Diluted non-GAAP earnings per share were $0.25. Back to revenue, from a mix standpoint we're continuing to see an evolution to software services in recurring revenues and we're seeing that in all of our major segments. For the trailing 12 months through Q1 2016 the combination of software services and recurring revenue represents approximately 48% of total Company revenue up from approximately 42% for the trailing 12 months through Q1 2015. Recurring revenue which is a subset of that, represented approximately 27% of total Company revenue for the trailing 12 months through Q1 2016 against 24% for the prior year. It is increasing clear that revenue mix shifts in our business towards software and services are positively impacting our deferred revenue and cash flow profile. Q1 operating cash flow was $113 million up 6% year over year. Closely linked with the cash flow performance deferred revenue increase to a record $320 million up 13% year-over-year. The increase in deferred revenue primarily reflects changes in revenue mix, currents large contracts and acquisitions. Debt decreased by $55 million sequentially ending at $675 million. Our leverage ratio defined as gross debt to trailing 12-month EBITDA ended at 1.6 well within our targeted range. During Q1 we repurchased approximately 500,000 shares of our common stock for $12.2 million. Our capital allocation priorities are unchanged. Our first priorities are long term investment in the business organically and through acquisition. We continue to produce strong cash flows. With relatively low levels of CapEx in our current acquisition pipeline we expect to continue to be opportunistic with stock repurchases. Our current stock repurchase program has a remaining authorization of approximately $238 million. I will now turn to our guidance for Q2 2016. We expect second quarter revenue to be between $595 million and $625 million and non-GAAP earnings per share of $0.26 to $0.31. Second quarter guidance assumes current FX rates and a neutral impact from currency translation. Non-GAAP guidance excludes the amortization of intangibles of $40 million related to previous acquisitions, estimated acquisition costs of $2 million, the anticipated impact of stock based compensation of $14 million and approximately $4 million in anticipated restructuring charges. Second quarter non-GAAP earnings per share guidance assumes approximately 255 million shares outstanding and a 24% non-GAAP tax rate. I would like to take a moment to summarize the drivers behind our conviction of achieving upward momentum and operating margins during the remainder of the year. There are three main drivers; revenue growth, gross margin expansion and expense management. I will provide a few examples of each of these drivers. First revenue growth, we anticipate strong relative growth in the back half of the year. Drivers of this revenue growth include but are not limited to Mobile Solutions. We entered Q2 with a record backlog in T&L which is coming from recent large customer wins as well as from the [indiscernible]. This backlog provides high visibility to revenue growth in the back half of the year. In E&C, Buildings and Heavy Civil have strengthening trends which will also drive material revenue growth. Buildings for example is largely a software business. Growth in 2016 license sales comes on top of a solid basis support in maintenance revenue. In TFS we expect growth due to geographic shifts and new product releases. To be more specific the addition of software and services is beginning to move the needle as are product releases which bring us into a new class of lower horse power equipment. We also continue to see positive revenue growth in markets outside of North American. Second for gross margin expansion in E&C we see growth in Buildings revenue driving overall margins up. We also see our Geospatial business returning to a more normal albeit more muted level of growth in margins. In T&L the backlog I mentioned will turn into increased subscriptions with corresponding higher margins in the upfront hardware revenue. Lastly in terms of expense management, we're implementing additional cost control to protect the model and we continue to review our product and divisional portfolio for rationalization opportunities. Added together, these effects have the potential to deliver high single-digit revenue growth and significant operating leverage in the back half of the year. With that, during the second quarter we will be presented at the JPMorgan Technology Media and Telecom conference in Boston on May 24th and the William Blaire Growth conference in Chicago on June 15th. We will now take your questions.
Operator: [Operator Instructions]. Your first question comes from the line of James Faucette with Morgan Stanley.
James Faucette: Thank you very much. I just wanted to ask quickly about the confidence of improving mix in geography in the latter part of this year. Just wondering if you can give us a little color. Is that related to new product launches and ramps, et cetera, any color you can give there. I'm sure people will ask, it seems like your construction and engineering is decoupling a little bit from the other indicators that a lot of time we see in the industry. So if you can talk a little bit about where you are seeing the drivers in construction engineering. Thanks.
Robert Painter: Relative to the geographic mix the specific market I highlighted in my comments was relative to Field Solutions specifically in the agriculture division. What we're seeing in the agriculture I will give you an example from Q1, is we experienced stronger revenue growth year-over-year in Europe, Russia and Asia-Pacific were as we saw negative year-over-year growth in North American. As you of course move through the year in agriculture and the planting cycles as they work around the world that plays itself out in geographic mix in Field Solutions as we move forward through the course of the year. And that would be really the one geography I would point out outside of North America in one particular. The other one I did call out as well was in Geospatial. In Q1 our North America performance was weak relative to our expectations and we see that coming back as a percent of the overall business better in the rest of the year. So that is the geographic mix.
James Faucette: Sorry, just to interrupt. So basically what you are looking at is the typical seasonality across geographies so that should drive better performance later in the year [indiscernible].
Robert Painter: In Field Solutions -- there would be two parts to that one would be yes to your question the typical seasonal mix. On top of that we have seen basically a strengthen position and I'm talking ag at the moment. A strengthening position in those markets outside the U.S. in other words they are more robust as well. So not only do you have a seasonal shift but you have more robust markets we have been experiencing in those markets.
Steve Berglund: Ands far as your question on the civil construction. At the most general level would say is again we're selling technology that does decouple us in terms of the drivers versus other indicators that may relate to equipment sales or the like. So I think -- I think it plays out on the regional level which is U.S. Highway Bill has hard to quantify precisely one effect or the other, but certainly on an anecdotal basis the passage of the highway build has solidified confidence in the relevant group of contractors who can now look to multiple year funding they look to their own competitive profile against that future more likely funding and they start to say, okay, are we competitive or not in terms of going and get this business. And I think that has led to an investment cycle on their part to be ready to be competitive for this future spending. Then I think a large part the heavy civil thing plays out kind of on a regional level. For example although Australia is hardly robust but after a couple of years of really heavy hits Australia is stabilizing. Most of the first quarter upside in Australia was actually agriculture but construction is more solid than it has been really for a couple of years. So I think Europe is also strengthening. Two weeks ago was the BOMA Exhibition which is the biggest construction show in the world. The mood in Germany was certainly very bullish relative to the prospects for the year. So I think we're starting to see the effects of that. I think it is not one thing; I think it is a number of things. But I think this is playing out in a regional basis where markets that have been missing in action for a couple of years are starting to come back to life albeit at a lower level than they may have been two or three years ago but they are starting to show some signs of life.
Operator: Your next question comes from the line of Richard Eastman from Robert W. Baird.
Richard Eastman: Steve or Rob, could you go back over for a second in the Mobile Solutions business you addressed the op profits here, the non-GAAP op profit and the margin there. I think you said there was growth investments there which I think makes some sense and then some acquisition that closed in the quarter. The step down there year-over-year is noteworthy I know the business is growing you have a good backlog but just speak to what the expectations is for the profit margin there as the year starts to play out here with the backlog in the growth.
Robert Painter: Sure. This is Rob. I think Steve might have covered this as well in his comments. In Mobile Solutions we expect to be near a 20% operating income level we see that as directionally achievable for the year. Now let's start to go back to the beginning of your question relative to the margin performance, the operating margin performance in the quarter and how to put that in context. I do so in a couple of ways. Primarily let's talk about the hardware versus the subscription impact in the transportational logistics. So the way the orders and really the revenue play out in that business is let's say you get an order. And in fact this quarter we have had very large orders. We had our single largest order we have ever received and we had record backlog coming out of the quarter. As you are fulfilling that hardware and you first fulfill the hardware before you turn that subscriptions on that hardware has far lower gross margin than the subscription does on an ongoing basis. So the first dip you take when you have an order of magnitude, basically it was a nonlinear change in the hardware implementations that we did during the quarter that has an impact of driving the gross margin down. Now as the hardware units get installed and they come online into subscription you now go the other way and margins come up in the business. That's the first part of the answer and the second part would be of course, it is a subscriber business therefore accumulative subscriber business and as that cumulative subscriber base grows and the revenue expands now I have got that margin percent on a higher revenue base and I am getting operating leverage expansion out of that.
Richard Eastman: Is the subscription in your description the subscription actually comes online then when the truck is sold? So in other words, we record the revenue and the op profit on the hardware to let's say PACCAR and then when that truck is sold to the end customer is that when the subscription comes on?
Robert Painter: Let's talk about OEM versus aftermarket. The vast majority of our sales and transportational logistics are aftermarket sales. So depending on the customer let's say they have a fleet 100 or a fleet of 1,000 some customers may choose to roll out in waves or in stages and others may choose to turn them all on at one time. There is not a singular prescription for that. It in that case it is not about the sale of a truck it is about the fleet implementing or I should say installing the hardware and then turning on the subscription or turning on the software service. On the PACCAR side the primary sale that we have it is actually sales to PACCAR so they are placing orders or the OEM is placing orders with us, so upon delivery of our units to that customer that's when we recognize the hardware revenue. There is a second part of it which would be how do you turn those into subscription that would happen sometime in the future after the truck has been sold and the customer chooses to install or I should say turn it on.
Richard Eastman: Can I just as a follow up and maybe just to expand that conversation for one second. As a follow up when I look at the second quarter guide and I walk my way up the non-GAAP P&L I'm coming in to an EBIT margin that is 15.2% to 17.1%. Granted there is not that much sequential revenue growth from the first to the second but obviously your comments about the second half and the margin improvement across the board in these businesses to get to 20% plus or minus a point for the full year your plan kind of dictates op margins, non-GAAP op margins in the second half that are 22%, 23%. That's what your plan looks like?
Steve Berglund: Let me jump in to clarify maybe on two points just because I think there is some poor communication on our part. First of all I think clarification of what Rob say. What I heard Rob say could be inferred as 20% for the full year operating margins for Mobile Solutions when in reality we're talking about being there towards the end of the year. The second implies to the full Company which is again maybe we miscommunicated here but the idea here is to reestablish 20% by the end of the year as the norm for the Company. Yes, I would agree that the arithmetic for the full year would be daunting and not terribly credible. So what we're talking about is operating margins in the neighborhood of 20% by the end of the year and with particular emphasis on the second half of year.
Operator: Your next question comes from the line of Rich Valera with Needham & Company .
Rich Valera: I was hoping you could flush out what you see accelerating the growth in the ag business in particular in the second half. I know you have some new products I am wondering if you can talk about any more specifics on them and how significant just comps are and how are the comps in the second half versus the first quarter which you saw the high single-digit decline. Thanks.
Robert Painter: Let me talk about on the new product side. We have been increasing, I will give you a few examples, the software and services content that we have in the ag businesses starting to get to point of some significance, enough significance where it can start to move the needle. And we have talked about some of our acquisition I think over the course over the last few quarters I will give you one example being [indiscernible] to establish for us a relationship with the [indiscernible]. We see that strategy playing out and starting to bear some fruit for us. On the hardware side which is really the bulk of the business still today and probably what we're best known for in ag. From a new product perspective we have a new display it is called a MMX display. And with this MMX display this gives us an entry price which is lower with a lower entry price point that helps us not only in emerging markets but also to get on to lower horse power equipment in a market such as North American. And with that lower hardware platform the way it has been designed and built is such that you can then expand the capabilities over time to allow for upgrades for instance. So that is some color on the product side of agriculture that is driving our belief set in the rest of the year performance.
Rich Valera: How about irrigation that has been rerolled out. Is that expected to get some traction here?
Steve Berglund: I think in general in terms of irrigation, yes, it will be a lift starting probably late second quarter into the year. The learning on irrigation which probably follows very much the same pattern as we have historically discovered in construction is that it is not a consumer product. It does not take off instantly. There is a trial period. So a farmers who may need 30 irrigation systems in total may try it out for the first year on one. So that process really began last year. We would expect pick up on that during the course of this year and continuing. It would be against maybe the expectations that we had maybe a year and a half or so ago where being an enthusiastic technology company we knew that demand was going to be instant and universal. It is turning out to be again a very classic Trimble sort of product which is prove it and build momentum over time by proving the technology. So it is a seasonal business. As we move deeper into the year we'll be into what I really second effective selling season for irrigation. I would expect it will lift the second, third and fourth quarter particularly second and third quarter. But again I think it will be progressive as opposed to let's call it a step function.
Operator: Your next question comes from the line of Jerry Revich with Goldman Sachs.
Jerry Revich: I'm wondering if you can bridge for us in buildings just some context behind slowing customer sign offs. In the quarter it looked like you showed some progress in the back half of 2015 in getting the sign offs done and I am wondering what drove the step back this quarter? And also based on your second quarter implied guidance for margins it looks like you are not counting on revenue burn accelerating sequentially; is that a fair way to interpret the mid of the guide?
Robert Painter: Can you clarify your revenue burn comment?
Jerry Revich: Yes, deferred revenue booking into revenue.
Robert Painter: So with the deferred revenue, I will start there, with the deferred revenue balance that we have that will play itself out over the course of the year more so the second half of the year. This definitely doesn't just drop in Q2. There will be a linearity throughout the rest of the year. On buildings specifically I will give you a couple of examples of what I was referring to in my comments. First if you look at our Manhattan Software business, basically that business has call it a relatively small number of transaction each with a high dollar amount associated to them. We had a small number of contracts where we had push out of customer acceptance from Q1 in to Q2. What you have then is you have the accounting effect of taking the cost in Q1 but not the revenue that's associated with it. So come Q2 for that revenue stream you would take the revenue with very little cost. That's one of the impacts. We had a small number of contracts where this happened. The biggest one we have already here in April in the first few weeks achieved the acceptance from the customer on the contract and now have that in our April and therefore Q2 revenue. Another dynamic in the buildings business is about this time of year you are going out and you are getting maintenance renewals from customers and if the customer pushes out that maintenance renewal from March and pushes out until April I now pushed some revenue from March into April. And that is another one where we can look here in the first few weeks of the quarter and we can compare the April results we have in the first few weeks to that of April the first few weeks last year. It is up high double-digit, so I can see from a fact based perspective that revenue is now in Q2. So those would be some of the examples to bridge your revenue questions in buildings.
Jerry Revich: And then in Field Solutions can you bridge for us the year-over-year margin performance you mentioned [indiscernible] mix. Can you just flush that out for us. I think last quarter you had a positive mix impact on a year-over-year basis, so I'm wondering what drove the variance. And I know you have been working the cost structure over the past couple of quarters in Field Solutions and I'm wondering what was the offset; why didn't that drop through in the quarter? Thanks.
Robert Painter: The primary impact came from geographic mix. The product we're selling outside of North American is sold overall at a lower margin than that of North America. And we had -- I know I have referred to so far in the call that we have experienced higher growth outside of North America and we had a decrease in North American so with the mix in geography that actually had an impact on the gross margin line, a negative impact on the gross margin line. Also I would say we had a discreet impact in the quarter relative to as the shipments were coming in or the orders were coming in reasonably strong at the end of the quarter outside of North America we actually were expediting some orders and that drove some additional shipping expenses for us that nicked us on the gross margin a bit.
Operator: Your next question come from the line of Brett Wong from Piper Jaffray.
Brett Wong: Steve, just for clarification it sounded like you are actually seeing increase demand in heavy civil from contracts ramping up from the highway bill, just wondering if that is correct. And if by any chance you can provide a little more color on your thoughts around what kind of growth you think that will drive.
Steve Berglund: Again I don't want to create the impression of false precision relative to our ability to measure FX. As I said we were surprised to the upside by the relative strength to demand both in the U.S. and around the world. And I think in terms of more at the anecdotal level in terms of what explains this relative uptick in demand the conversations typically are coming back to the highway bill. So I think that -- I would attribute a significant amount of the buoyancy in the U.S. to the highway bill. But I would say kind of as a background factor because it has created confidence within the contractor community enough confidence to start an investment cycle in anticipation of a multiyear pretty firm spending profile. I would say it is significant. Almost interesting factor is that we're seeing an uplift in heavy civil demand worldwide in markets where we haven't seen it. So I think it is a worldwide phenomenon not exclusively U.S. What I would say is that in general sense if we were talking about relatively muted growth a quarter ago it was okay, let's call it relatively low single digit, I would say in a very preliminary fashion I would characterize it as being high single-digit at this point in time and maybe with aspirations for even more which would be a real change in temperament in Heavy Civil over the last two years. I think the highway bill is a contributor but not the only factor contributing to the change in view point.
Brett Wong: You talked about some of those margin expansion initiatives at the very beginning can you talk about the removal of tax code basis and the reduction you are expecting this year and really the target you have in a given year of kind of cleaning up those legal entities. And then maybe with that if you can list the most important cost reduction or margin expansion efforts in that kind of portfolio rationalization cost reductions, this legal entity reduction that would be helpful.
Robert Painter: I will take the questions. There is a few parts there so you are probably going to have to remind me of one or two of them. You asked about the tax code and impact on sales. I presume you are talking about the ag business at the end of last year; is that right?
Brett Wong: Yes.
Robert Painter: Okay. So I would put that in the same category probably as highway bill as hard to characterize to a degree of precision of how much volume that drove for the business. I think it is fair to say that it had an impact, it had a positive impact at the end of last year which probably takes you to a logical conclusion to say that lead to a drop off in Q1. Our Q1 numbers from a revenue standpoint came in as per our expectations, so it didn't come to us as a surprise the Q1. How much it had an impact overall and whether you want to attribute it to Q4 or Q1. It would be in the low millions in our assessment of revenue. Okay. So your next question was relative to legal entities and simplification and what kind of opportunities for improvement that could lead to; is that right, Brett?
Brett Wong: Yes, that's right, Rob.
Robert Painter: So we're a Company who has acquired a goodly number of businesses over the -- well, not just the last, you know, the last 17 years, 15 to 17 years as I look at Steve. And through the course of that has certainly added a good number of legal entities over the years. It is not just a matter of legal entity reduction and that is the magic bullet. It is the sum of pieces and those pieces can include I would really look at it as a bit of the complexity overall relative to our acquisitions. So what you have is when you have a number of legal entities you can have a high number of buy/sell entities, you can potentially have duplication of stocks controls [indiscernible] and ERP systems. We look at the legal entity is a relative easy way to describe it and it is a bit of an umbrella to describe a set of simplification activities we think we can undertake. Like any good undertaking of an initiative like that we want to think about the cost benefit associated with that. So we have been relatively modest in terms of how fast we have been moving on it because we want to really prove out a good level of ROI as we reduce the legal entities. Now we're reducing legal entities every year. We reduce bank accounts every year. In years where we have had more acquisitions sometimes that can get you right back to the water line. At this point where we have had a low number of acquisitions in recent -- the last couple of quarters now we're getting this is an opportunity for us to get a bit ahead of it. How much exactly that will play out over time and what kind of savings that can lead to over time I would say it remains to be determined at a real high level of specificity. But we definitely have a level of conviction that it is part of our plan to generate better operating leverage and ability for us to scale as an organization going forward. You had a third one, Brett.
Brett Wong: Sorry, I didn't mean to wrap so many questions in to one. I know that is difficult to deal with. But thanks for all that color, Rob. And I guess the last was out of all those initiatives what do you see as the lowest hanging fruit or the biggest opportunities in the near term?
Robert Painter: In terms of the -- are you talking about the initiatives that Steve referred to?
Brett Wong: Yes.
Steve Berglund: I would basically say the lowest hanging fruit would be just this pruning activity. Now it doesn't generate huge numbers, but it does actually move operating margin percentage and probably when we're done it will have moved it by a point rounding up maybe a bit. So I think that's the lowest hanging fruit. I think the more significant in the short term is just let's call it increase cost rigor just looking at cost categories and just putting them in the frame work of cost benefit and I think that we're doing it continually but let's just say within the last year we have become more intense about it. But I think that in terms of short term significance that is the most significant over the next couple of quarters.
Operator: Your next question comes from line of David Rose with Wedbush Securities.
David Rose: Just a couple of points of clarification. On the Mobile Solutions business as the backlog builds how do you get comfortable that what's in the backlog doesn't have a similar effect? Or maybe better asked is what's in the backlog mix; heavy equipment, is it subscription? How should we think about it going forward as you grow the backlog each and every quarter as well.
Robert Painter: So to put it in context we have a record backlog in the business now. If we were to have in principle if we had another step function level of backlog come in it would be possible that we could have a shift out in the margin expansion but then that would be offset by a higher cumulative subscriber base generating margins on that basis. The model as we have planned it for the quarter and for the rest of the year takes in to account our current level of backlog and how that will play out, current and expected I should say level of backlog and how that will play out.
David Rose: Rob, I guess as you get more into the role that you have today, how are you getting more comfortable with the forecasting across so many different businesses and certainly in the case with Advanced Devices it was short fall and I think there were some other moving pieces across the cost structure. So maybe you can provide a little bit more clarity for us in terms of what you are doing to improve the forecasting.
Robert Painter: If you take a forecasting we break it down into a series of pieces maybe there is an some kind of X, some proverbial X and Y axis. At one level you have our reporting segments and the division underneath that and then on the other axis you could take the lines of the P&L. I would say the one -- if I take the line to the P&L and that axis we start with a high, high level of conviction there that we have to know our cost and that tone at the top is that predictability on our cost structure is job number one. The majority of our costs as an organization are people costs as a technology Company. The rigor around managing our cost structure across all the divisions of the company starts with let's say starts with tone at the top and is not a new tone as Steve said. Next I would say we work I guess I am working up the P&L from a gross margin perspective, really looking out and really it is about knowing your business. There is not one Trimble answer as you know with the portfolio and the number of different businesses we have. So mix can change the overall number and I can get comfortable with that at an overall Company level. To me the point would be at the individual division segment level that we really understand what the drivers of our margins are and we understand the profile of our margins as it relates to things like product mix or geographic mix. And then finally as you work up to the top line there you would naturally expect the most degree of variability on the P&L but you are still managing it within a relatively tight range the expectations that we set so that is really driving a lot of rigor around let's call it our planning processes and our communications with the team. That's on one axis. At the other level with division by division roll up there is probably an unique answer for most every in every business so we definitely don't have a one size fits all answer for the different business.
David Rose: Maybe I can follow up later on. I was just trying to get a better sense in terms of what you are doing differently to tighten the process a little bit more, but I can follow up afterward in interest of everyone's time. Maybe on a cash flow side if you can just walk us through lastly. It is a great number for the quarter. What is your expectations in terms of free cash flow conversion for the year and as you go to the subscription and services business how should we think about that inventory number?
Robert Painter: So we don't guide out on cash flow presently. I guess what I would tell you is the performance we saw in the quarter that is not a let's say not a fluke and we would expect that kind of progression and performance over time.
Operator: Your next question comes from the line of Eli Lustgarten with Longbow.
Eli Lustgarten: I want to step back because I listen to the entire description and I look at what consensus numbers look at and I have to get back to some very basics. Based on what you are saying wouldn't the probability of revenue in the second half of this year exceed the revenue in the first half of this year? Is that what you are implying? Because that is not what consensus is looking at, that is not what people, investors it is not what is in the statistics. But it almost has to be that you are expecting a much better revenue in the second half versus the first half of year, not versus last year. We know versus last year but the second half would be a stronger revenue than the first half which is a little bit seasonal.
Robert Painter: We don't have to imply it we will say it outright. We do expect the second half to be stronger than the first half and forth reasons we tried to list here.
Eli Lustgarten: What I'm seeing is the way the estimates there is a $1.25 consensus on [indiscernible] you missed the first quarter by$0.03, your guidance in second quarter is a little bit less. So you are sort of still believing we're going to get to where we ought to get to but based on a much stronger second half in the year; that is a fair statement I think at this point?
Robert Painter: Yes, again all we have actually talked about up to this point in time is the first quarter and the total year. And I think for some of the reasons we talked about the first quarter was in the midpoint of guidance and there was a scenario that said it would have been stronger but in terms of late breaking customer acceptances and whatever influenced the number down. I kind of shrug my shoulders at that and say okay, I don't think that is part of the secular story here. But I think all along given the profile of the year is that when we have been talking about the full year we believe there is underlying up to the right trend involved in this Company and it kind of plays out through 2015 and actually into the first quarter. It is not obvious but particularly when you adjust for things like the deferred revenue effects and all those sorts of things we believe there is a trend here. And if you look at the franchise businesses of heavy civil buildings, transportational logistics even ag excluding Geospatial we believe that the outlook for the year is good in some of the cases improving. So, yes, without a doubt without any ambiguity whatsoever management believes the second half of the year will be stronger than the first half.
Eli Lustgarten: Now can we just go through the Mobile Solutions business. You know truck markets you have gotten great OEM contracts and this is basically a penetration argument going on of a new product. because we're entering a 20% to 30% decline in heavy truck production over the rest of this year and this product is not going into Europe from what I understand which is where the market is strong. So this is really just a penetration of a new product that's driving the Mobile Solutions business growth [indiscernible].
Steve Berglund: I think the paradigm is larger than that, Eli. First of all, in terms of PACCAR there is an OEM component here. But let's just say we're relatively immune overall from kind of what is happening in terms of the new truck market. As Rob said earlier our fundamental market is the aftermarket. It is going to the operator of the fleet and selling functionality, selling value add. So I think we're not really totally aligned with the new truck market. Yes, it makes it easier when you are putting [indiscernible] on the factory. But in reality the market paradigm is larger than a single product. We're selling an enterprise solution to a large extent. We're selling a work flow solution. So a new product helps, new product gives us a lift. But in reality I think the paradigm we're actually out there selling is a larger paradigm and it really has to do with work flow and it has to do with enterprises level improvement and those sort of things. So, yes, product enters into it but it is more than just product.
Eli Lustgarten: So the big backlog and the step up there is OEM business directly, isn't it?
Robert Painter: No, it is aftermarket driven.
Steve Berglund: We just may not be able to announce who we're talking to.
Eli Lustgarten: Okay. So the bulk of that backlog is aftermarket as opposed to OEM?
Robert Painter: Correct.
Eli Lustgarten: Same thing, can you give us some idea what you think your potential in the ag market. You talked about bringing the horse power which is where the demand is growing. Can you talk about what the size of that market would be relative to the size of the normal [indiscernible] tractor market or [indiscernible] which is big dollar value. Do you sense that market could be some sort of reasonable percentage of the existing market in ag?
Robert Painter: The answer would be yes. It is a reasonable percentage of that. And to maybe get our heads around that not only would you look at a market where we have been for a long time such as North America, but now start to think about emerging markets where you need lower price points whether that is on lower horse power or higher horse power equipment that starts to open up a strategy at play we believe will open up doors that heretofore have been closed to us.
Operator: Your final question comes from the line of [indiscernible] with Oppenheimer.
Unidentified Analyst: This is actually Kristin in for Collin. I appreciate you guys squeezing me in. Just a quick one from me on the E&C I was hoping to dig in little bit on your margin improvement story there. You called it out as the heart of the improvement area. And I want to ask how much of that is related to product mix versus what you are doing internally.
Robert Painter: So from E&C and the gross margin progression. Okay. So there is E&C margin enhancement throughout the course of the year and then there is also E&C's impact on overall Trimble, so do I will stay within the segment of E&C and what is happening there. Okay. The first one which really one of the primary drivers of the margin expansion in E&C comes from the Trimble Building business and the Buildings business is90% plus the software business portfolio and with software like margins. So the growth and the growth in the buildings business has been over the last couple of years been at a double-digit level. We have expressed on this call we believe in the Q2 and into the rest of the year that we can again grow double-digit. So you do that math and play it out where that is the highest growing segment within E&C and you have a margin expansion capability out of that business. Our Heavy Civil business its gross margins expanded year-over-year. So we see that playing out -- I said gross margin there. All this plays out into operating margins. You have really as much -- you have the impact of the cost reduction that has taken place in E&C on top of -- sure we have new products that come out in that business every year and of course that continues to play out as well. I would also probably really focus on that software and service mix.
Unidentified Analyst: Okay. And that sort of speaks to my next question which is just in the shift in the channel. I mean you are bringing in these more high value products with the software and the software as the service mix. How is that offset or where is the opportunity there on the operating margin standpoint? I mean those are presumably higher touch sales
Robert Painter: So the buildings business is predominantly a direct sales model. We do have a channel called Building Point in that business but today it is predominantly a direct sale and for our professional services as well. It is not only direct but it is vastly direct sales business. And, yes, you are right the nature of some of the complex software that requires high domain knowledge and touch leads to or has led over course of time to a direct sales model.
Unidentified Analyst: Okay.
Operator: I would now like to turn the conference back over to Jim Todd for closing remarks.
Jim Todd: Thanks, Britney. And thanks everyone for joining us on today's call. We'll look forward to talking to you next quarter.
Operator: Ladies and gentlemen, this does concludes today's conference call. You may now disconnect.